Operator: Greetings and welcome to Qorvo Inc. Q1 2024 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Douglas DeLieto, Vice President, Investor Relations. Thank you, Mr. DeLieto. You may begin.
Douglas DeLieto: Thanks very much. Hello, everybody, and welcome to Qorvo's fiscal 2024 first quarter earnings conference call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our annual report on Form 10-K filed with the SEC because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provided supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our Investor Relations website at ir.qorvo.com under Financial Releases. Joining us today are Bob Bruggeworth, President and CEO; Grant Brown, CFO; Dave Fullwood, Senior Vice President of Sales and Marketing; and other members of Qorvo's management team. And with that, I'll turn the call over to Bob.
Robert Bruggeworth: Thanks, Doug, and welcome everyone to Qorvo's fiscal 2024 first quarter call. Revenue, margin and EPS were all above the midpoint of the outlook we provided on our May 3rd earnings call. End market demand in the June quarter was consistent with our expectations. Within the Android ecosystem, channel inventories continue to be consumed and Qorvo continue to undership to end market demand. We expect continued reduction in channel inventories in the September quarter and we see Android channel inventories normalizing by calendar year end. In other markets, relative strength in the areas like defense and aerospace and automotive was offset by inventory consumption across consumer markets and weak demand in 5G infrastructure. In some of these markets, we expect inventory consumption to extend into next year. Qorvo has worked diligently since last fall to aggressively drive down channel inventories in multiple markets while at the same time prioritizing new product development and securing customer designs. This has enabled us to drive growth in large customer programs and it positions Qorvo for incremental growth as end markets recover. As we have stated in the past, Qorvo's growth targets by segment or for strong double-digit growth in Connectivity and Sensors, double-digit growth in High-Performance Analog and mid-to-high single-digit growth in Advanced Cellular. Design wins during the quarter in HPA were diversified across customers and markets and included large defense programs extending multiple years. In Connectivity and Sensors, design activity span a variety of applications including highly-integrated IoT connectivity solutions, Wi-Fi 7 RF front ends and force-sensing touch sensors. We have a broad range of growth drivers in CSG and we are pleased with our increasing design activity in new growth areas like Sensors and ultra-wideband. Overtime, we see HPA and CSG contributing increasingly to growth, diversification and margin expansion. In Advanced Cellular, design activity continued to be favorable across all leading smartphone OEMs. We are growing our content and next-generation 5G smartphones at our largest customers and we are capturing new content in the Android ecosystem as 4G units transition to 5G and enter our SAM. In calendar 2023, approximately 45% of Android smartphones will be 5G and we expect Android 5G smartphone unit growth to post double-digit CAGR for several years. Now let's turn to some quarterly highlights. In automotive applications, Qorvo was selected by an automotive tier-one to supply ultra-wideband connectivity for upcoming EV launch by US-based manufacturer. We are pleased with this win and the growing content opportunity in automotive where the ultra-wideband content inside the car will typically include five to seven placements plus one placement in each key fob. We also secured touch sensor design wins enabling force level detection in a range of smart interior applications including center console, door panel, steering wheel and display. These are multiple design wins totaling multiple billions of dollars. In Automotive Connectivity, we were selected by a leading automotive antenna supplier to provide cellular V2X front end modules and BAW coexistence filters for use by a major European-based OEM. Lastly, we expanded our automotive footprint with an automotive radar design win to supply or receive amplifier for a major US-based automotive OEM. Qorvo's automotive opportunities include DC to DC converters, onboard chargers, smart interiors, RF front ends for 5G, Wi-Fi and V2X connectivity, radars and ultra-wideband secure car access for key fobs and in sidecars. In Wi-Fi, we secured several Wi-Fi 7 design wins with access point providers for our Wi-Fi 7 BAW filters enabling full coverage of 2.4 gigahertz, 5 gigahertz, and 6 gigahertz bands. We also began sampling tier-one customers for our next-generation Wi-Fi 7 FEMs which paired with multiple chipsets. In our Connectivity Systems business, we were among the first to achieve Matter 1.1 certification for our concurrent connect integrated solutions for gateways and devices. This expands our market opportunity and support of top smart home ecosystem customers whose installed base exceeds $150 million home networks. In silicon carbide, we booked a multi-million dollar customer order for silicon carbide power devices supporting AI servers in other data center applications. Design win funnel for Qorvo's silicon carbide power devices is increasing and we continue to expand our supply base to support our customers. In addition to the previously announced supply agreement with SK Siltron, we also have agreements in place with Wolfspeed and Coherent. For broadband applications, we extended our leadership in DOCSIS 4.0 with customer sampling of our 1.8 gigahertz hybrid power doubler. This solution delivers more RF power with lower-power consumption than competing solid-state solutions. In Cellular Infrastructure, we released a highly-integrated 3.4 gigahertz to 3.8 gigahertz, 8W PAM that simplifies 5G massive MIMO system design. We also began sampling the industry's first C-band discrete BAW band pass filter for 5G small cell radios. For defense communications, we began sampling the industry's first 2 gigahertz to 18 gigahertz transmit receive front end module, delivering 10W of transmit power. This highly-integrated wideband solution integrates the PA, switch, LNA and Limiter. It leverages Qorvo's advanced packaging and process technologies to maximize power efficiency in a miniaturized footprint. The form factor and functional density of our solution is especially critical given the trend in our defense and aerospace business of one-to-many. In addition to manned aircraft, there will be many more drones. In addition to large keyhole satellites, there will be many more LEO satellites. These future communication systems and system upgrades incorporate more electronics requiring greater integration across higher volumes. With smartphone OEMs, we began sampling Android smartphone customers, Qorvo's newest highly integrated PAD, which combines in a single placement below, mid and high-band main path functionality that is currently offered in two placements. This new architecture reduces surface area by 40% to meaningfully simplify design and decrease time-to-market for massive 5G phones. This follows on the heels of our announcement last quarter that we began sampling a mid, high-band PAD that combines the main path and diversity receive content for the mid and high bands. Both placements leverage a broad range of Qorvo process technologies, including our newest BAW and SAW filters. Lastly, we commenced customer sampling of our next-generation antenna tuners, which deliver best-in-class linearity, the industry's smallest solution size and compatible with all major chipsets. I want to thank the Qorvo team for continued operational excellence. We have made significant progress clearing channel inventories while developing new technologies and securing new design wins that enhance our customers' products and expand our addressable market. In the September quarter, our outlook primarily reflects new products ramping at our largest customer. Later in the year, we expect Android revenues to reflect a healthier channel in Qorvo's shipments that are more closely aligned with end-market demand. We are very encouraged by customer design activity we've seen so far this year, we expect revenue growth and margin expansion as product mix favors our high growth investment businesses and we are positioned for incremental growth as end markets recover. And with that I'll hand the call off to Grant.
Grant Brown: Thanks, Bob, and good afternoon, everyone. Revenue for the quarter was $651 million, non-GAAP gross margin was 42.9% and non-GAAP EPS was $0.34. Relative to our expectations as provided on our May earnings call, results exceeded the midpoint of guidance despite the macro-environment and channel inventory reduction efforts. Consistent with our guidance, factory production levels improved modestly, but remain below which created an underutilization impacts during the quarter of approximately 800 basis points. The sequential improvement in gross margin and upside to the midpoint of our guidance was due to higher production levels and product mix. Non-GAAP operating expenses in the quarter were $233 million approximately in line with our expectations. We continue to invest in new product development that targets multi-year growth opportunities across all three segments as well as in the teams that directly support our customers. In total, non-GAAP operating income in the quarter was $47 million or 7% of sales, which increased modestly relative to last quarter. Breaking out operating margin by each segment, ACG was 11%, HPA was 17% and CSG was negative 20%. During the quarter, Qorvo Biotechnologies reduced CSG operating income by approximately $2 million. As a reminder, we are currently in the process of seeking strategic alternatives for this business. Non-GAAP net income was $34 million representing diluted earnings per share of $0.34. Moving onto the cash flow statement. Free cash flow was $5 million and capital expenditures were $39 million. During the quarter, we repurchased $100 million worth of shares at an average price of $96.81. The rate and pace of our repurchases is based on our long-term outlook, free cash flow, low leverage, alternative uses of cash and other factors. Turning to the balance sheet. As of quarter-end, we had approximately $2 billion of debt outstanding with no near-term maturities and $744 million of cash and equivalents. Cash benefited from the sale of our Farmers Branch campus, which was completed during the quarter. Consistent with our expectations and commentary from our prior earnings call, our net inventory balance ended the quarter was up $121 million to $917 million driven by the seasonal ramp at our largest customer. Turning to our current quarter outlook, we expect quarterly revenue of approximately $1 billion plus or minus $15 million, non-GAAP gross margin between 45% and 46% and non-GAAP diluted earnings per share of approximately $1.75 at the midpoint of the revenue range. Our outlook contemplates the current demand environment, further consumption of channel inventory and seasonal factors. Our non-GAAP guidance for fiscal Q2 excludes any costs related to the divestiture of the Biotech business but includes ongoing operating expenses until it has divested. We project non-GAAP operating expenses in the September quarter will be approximately $240 million. In addition to growth-oriented investments across our product and technology portfolios, we are also targeting enterprise-wide productivity initiatives. We're simplifying and rationalizing processes and upgrading the core systems we use to run the business. We will present these productivity investments as non-GAAP other operating expenses. These multiyear efforts will support future growth and enhanced profitability as we upgrade, modernize and standardize around the latest tools and best practices. Below the operating income line, non-operating expense is expected to be approximately $10 million, reflecting the interest paid on our fixed-rate debt, offset by interest income earned on our cash balances, FX gains or losses, along with other items. Our non-GAAP tax-rate for fiscal '24 is expected to be within a range of 13% to 15%. We expect our inventory balance will decrease in the September quarter as we support a seasonal ramp at our largest customer. In terms of channel inventory, the environment continues to improve. Inventories of our components in the Android channel were reduced during the June quarter by approximately 20%. This follows greater than 20% reductions in the prior two quarters. We anticipate channel inventories will continue to decline this quarter. Later this calendar year, we expect Android channel inventories will normalize. Outside of the Android ecosystem, there are smaller pockets of channel inventory. They will take longer to digest. For the full year, there is no change to the full fiscal '24 commentary provided last quarter. To reiterate, we forecast fiscal '24 revenue will be above fiscal '23 and expect to benefit from strong dollar content growth at our largest customer. For the full year fiscal '24 non-GAAP gross margin is expected to be approximately 44% with variability on a quarterly basis primarily tracking utilization and mix. During the second half of the fiscal year, we expect sequential declines in gross margin during Q3 and again in Q4, primarily related to utilization and mix. Non-GAAP operating expenses for Q3 and Q4 are expected to be approximately $240 million to $245 million per quarter with variability related to the timing of product development spend, investments in core systems and related productivity initiatives, incentive compensation based on our expectations for improved financial performance, the timing of the Biotechnology business disposition as well as other items. Qorvo enjoys multiyear growth drivers across our three segments. We are leveraging a broad portfolio of technologies and capabilities to grow content this year on large customer programs and we are uniquely positioned across leading customers in large markets. We're investing to drive outsized growth in diverse businesses to broaden our market exposure and accelerate growth. At this time, please open the line for questions. Thank you.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question comes from the line of Karl Ackerman with BNP Paribas. Please go ahead.
Karl Ackerman: Yeah, thank you. Two questions if I may gentlemen. First, could you comment on your ability to secure gallium and germanium substrates for your products? And I guess what are your thoughts on the ability to pass along higher substrate costs if that were to occur going forward?
Grant Brown: Sure. Thanks for the question, Karl. This is Grant. We currently do not believe the export ban will have a meaningful near-term impact. It took effect yesterday, as you know, but it was communicated well in advance and I credit our ops and sales team for acting quickly to access the supply needs and communicate with customers and suppliers, and ultimately for increasing our raw material coverage with our direct suppliers wherever needed but we have not observed any notable changes in our customers' behavior or supplier lead times. We remain in close contact with our suppliers and they have assured us of their ability to support our demands down to individual purchase orders on committed delivery dates. In terms of pricing, we had again, haven't seen anything abnormal there as of today.
Karl Ackerman: Very helpful. I guess, if I could just maybe zoom out for a second. I was hoping you could -- you could discuss the timing of the automotive design wins you've mentioned in your prepared remarks across many applications really, silicon carbide, ultra-wideband, force-sensing. My understanding was that automotive represented kind of a mid-single-digit portion of your sales. I could be wrong, but that clearly appears to be expanding. So could you comment and whether maybe your automotive business doubles for you by 2025? Thanks.
Robert Bruggeworth: Thanks, Karl. This is Bob. Appreciate the question. As you well know, the nice thing about automotive is when you win, you get great visibility for multiple years, unlike the smartphone industry where today we get a little bit of visibility, but you have to then earn it the following models, where in automotive, as you pointed out, you go out several years. We've got great visibility at this time, we're not sizing it, but I think based on the volume of opportunities that we shared in my prepared remarks plus in the press release, it is our expectations as you pointed out, as we move out into calendar year '25 and '26, it will become a much more meaningful part of our business. But as you pointed out, we're already participating in some of the automotive applications today. I will comment the electric vehicle manufacturers do seem to move a little bit more, a little bit faster than the traditional gas engine manufacturers, but we do look forward to continue to report our progress.
Operator: Thank you. Next question comes from the line of Ruben Roy with Stifel Nicolaus. Please go ahead.
Ruben Roy: Thank you. Bob, if I can follow up, right where you left off on auto. Can you talk about or characterize the types of automobiles where you're winning? Is it sort of flagship versions or flagship autos or mid-tier high end or across the board? And at this point, is there a way to think about content per auto in dollars?
Robert Bruggeworth: Sure. Thanks. I'm going to have Dave get into some of the details on that, Ruben?
Dave Fullwood: Yes, and you can imagine some of these products that we're talking about, they're going to start in a higher tier of the auto from ultra wideband for the sensors that are going into the cockpit. Electric vehicles certainly are focused there, but even some of the higher-end gas-powered vehicles. And over time, we expect that to go down market. On some of the connectivity side there, that can go more broadly across the portfolio and the OEMs because there you're talking about connectivity within the vehicle, connectivity from vehicles outside of the vehicle. So some of those are more driven by the governments, and those requirements are going to be across all vehicles regardless of the tier where that model sits.
Ruben Roy: Got it. Thank you. And as a follow-up, Grant, I caught the operating margin numbers you gave for the segments. I don't know if I missed this, but I don't have it. Can you give us the dollars or kind of the performance for the segments in the June quarter? And then, obviously, you've got strong content gains at the largest customer driving, the September revenue expectation, but if you can give us any granularity on how you're thinking about the other segments as you proceed? Any changes to how you're thinking about those segments through the rest of the year? Thanks.
Grant Brown: Sure, Ruben. Revenue by segment was $412 million for ACG, $140 million for HPA and $99 million for CSG. In ACG, our fiscal Q1 is the lowest seasonal point for those largest customers. But despite that, the top line for ACG was approximately flat or down about a percent or so. Both HPA and CSG saw sequential growth in the quarter, up 5% and 21% sequentially. As I commented in the prepared remarks, operating income was 11% just for ACG, 17% for HPA, and then negative 20% for CSG, which was a notable sequential improvement for CSG. We don't guide by segment, but looking out into September, the primary driver is the content gains at our largest customer within ACG. Revenue is not supported by existing inventory. It's built and shift in line with the seasonal ramp, so it's not burdened with those higher costs of some of the Android inventory, for example. So that benefits gross margin and has been factored into our, into our guidance.
Ruben Roy: Appreciate it.
Robert Bruggeworth: Operator?
Grant Brown: Operator, next question please.
Robert Bruggeworth: Operator, are you there?
Operator: This is the operator. Is the question over?
Robert Bruggeworth: Yes, please. Next question please.
Operator: Just a moment. Our next question comes from the line of Gary Mobley with Wells Fargo. Please go ahead.
Gary Mobley: Hey, guys. Wasn't sure if was getting my question in. Good afternoon. I was observing that your first half of fiscal year '24 appears to be running about 3% above your -- your May commentary and -- or about $50 million. What's driving that minor variance and is there anything to call out that may be offsetting that?
Grant Brown: Sure, thanks, Gary. Good. It's a good question. I think it's fair to say that the quarter played out better than we had forecast when we provided our May guidance. If you, if you look into that revenue, it was strength in the areas that we had, that we had talked about. So at our largest customer and then within having cleared some of the channel inventory, we're still benefiting to a modest degree there, but generally speaking, the quarter played out better. In terms of the drivers on maybe the EPS beat to go a little further than just revenue that was primarily gross margin improvement which was partially driven by the revenue upside, but was also a factor there of lower factory variances, including utilization, better utilization and continuing cost reduction efforts. Those were partially offset by some inventory-related charges and typical price erosion along with inflation. But generally speaking, the quarter was better than -- than we had forecasted in May.
Gary Mobley: Got it. Thanks, Grant. And so you're guiding the September quarter revenue at about $1 billion dollars, which takes us back to a similar level to the June quarter of fiscal year '23 when gross margins were 450 basis points higher. And I presume the difference today is that you would, you just have too much inventory and you just can't fully utilize the manufacturing operations. But under -- my question is under what circumstances can we see a return to that 50% gross margin?
Grant Brown: Sure, we still have visibility to 50%. As I pointed out on the call, we have about 800 basis point headwind from utilization in the prior quarter and looking forward, we still have those same issues from a utilization perspective, as you pointed out on inventory. I think as we clear the channel inventory across the Android and utilization returns to a level in which we're shipping to end market demand, we should have a clear path back towards the 50% gross margins we've enjoyed in the past. Those are really two-fold, there's the inventory we have on hand, which is already burdened with the cost of that underutilization in the past. And then there is the forward-looking utilization within the current quarter as we meet future demand or build product for future demand. Both of those can weigh on the quarter and are in that 800 basis points that I quoted. The underutilization of current period can, if it's extreme, it can hit as period charges and we've experienced some of those as well. So it's really, as we re-synchronize our factories to end market demand, we should have a clear path back.
Operator: Thank you. Next question comes from the line of Srini Pajjuri with Raymond James. Please go ahead.
Srini Pajjuri: Thank you. Bob, on the Android inventory, you seem pretty optimistic that it's going to normalize by end of the calendar year. So I guess as we look out to the March quarter and next calendar year, what's the, I guess, in the strategy for, I guess, whether you call it refilling the channel or maybe just trying to think about how the seasonality might get impacted once the inventory normalizes.
Robert Bruggeworth: Thanks, Srini, for your question. And we are getting pretty comfortable with the progress we're making, and as both Grant and I have commented, the team has done a great job of managing the inventory down, working with our customers, working with some of our distributors to do that, and our expectations are that we should be able to, by the end of the calendar year, things will normalize. And then, obviously, as that happens, we're not expecting end demand to change at all from where we are. In fact, as we sit here today reporting the most recent quarter, and we were a quarter ago, our numbers for units of Android phones, smartphones has not changed. So we think things are stabilizing some. Yes, the market's been down here a little bit up there, but overall. So as we look out into '24, calendar '24, fiscal '25 for us, we're not ready to make any calls on what's going to happen with the macro economy and things like that. But clearly, as we've come down to normalized inventories, that headwind turns into a tailwind. So we'll watch how that plays out.
Srini Pajjuri: Yes, that's great. And then maybe one for Grant. Grant, you kind of highlighted underutilization as one of the issues with the gross margin. But I guess the other issue is the high-cost inventory. So I guess at what point that stops to become a headwind to your gross margin and maybe potentially a tailwind.
Grant Brown: Sure. We haven't commented beyond fiscal '24. So I won't do that here. But in our guidance, with a sequential drop in Q3, you start to see some improvement there. And then in Q4, again, you start to see even more improvement as we sell through some of the channel inventory. Now gross margin will be sequentially down in the sense that we're selling through some of that inventory, but we do expect to resynchronize utilization towards the end of our fiscal year and into fiscal '25. But we haven't commented specifically beyond that.
Operator: Thank you. Next question comes from the line of Vivek Arya with Bank of America Securities. Please go ahead.
Vivek Arya: Thank you for taking my question. Bob, you are sounding more confident about the top-line growth, but since the last time Qorvo reported, there has been kind of this pronounced slowdown in China. And even if the Android customer inventory might be getting cleaned up, your large customers still has China as an important end market. So, I'm curious that in the last call you suggested that December sales could be flattish, right, and March would be down just kind of seasonal, is that still the right way to think about December and March or do you think we should be reflecting any macro effects that we're seeing by way of sell-through and just consumer demand?
Grant Brown: Thanks, Vivek. This is Grant. Let me take that one. Beyond the specific September quarter guidance that we just provided, there is no change to the fiscal '24 commentary that we provided last quarter. So as Bob pointed out, our expectations for sell-through and in the channel remain the same. Absent any macro-related disruptions, which we're not predicting, we do forecast to continue to think fiscal '24 revenue will be above fiscal '23 as you mentioned, and we're benefiting from some strong dollar content growth at our largest customer and then later in the year, we will benefit from the actions we've taken in connection with our customers to clear that channel inventory. To be clear, we are calling for very modest growth on the year, which is consistent. But in fact, our forecast does not anticipate a significant rebound in the Android units. The Qorvo specific situation as we process through the channel inventory and then return to shipping to end market demand. Beyond revenue just for the year, there's also no change to our fiscal '24 non-GAAP gross margin, still expected to be approximately 24% plus or minus with some variability on a quarterly basis tracking utilization and mix, which I've already talked about. This is important to understand. Mix will shift seasonally over fiscal Q3 and even more so in fiscal Q4 towards higher-cost inventories and utilization is also important, as I pointed out, because it supports that incremental forward-looking demand but also because severe underutilization can lead to the period costs as I mentioned earlier. We've been very transparent there and continue to expect those sequential declines in gross margin and that's factored into our 44% guide. I covered OpEx a bit in my prepared remarks but it's important to note that we are investing for the future. We're investing in large customer programs where we have the technologies to win. We're investing in diversifying businesses like silicon carbide, UWB, Matter, SoCs and power management. And finally, we're investing in ourselves by upgrading our core systems and numerous productivity initiatives. So on the whole, there is no change to our fiscal '24 guidance and our view of the market remains the same.
Vivek Arya: Thanks, Grant. Very helpful. And then on gross margins -- Apologize if you had answered this before, but again from the last call I think you had mentioned December could be down 100, 150 basis points, and then March would be down another 200 to 300 basis points as you work through some of the higher priced component inventory. What would make that component inventory cost go down, right? I imagine there has been more inflation overtime. So I guess this is just a long-winded way of asking that as we start the next fiscal year, what is the right baseline of gross margins we should think about, is it that 43%, 44% level as you're exiting March, is at the average level that you have in this fiscal year? What is the right way to just think about the baseline level of gross margin as you enter the next fiscal year?
Grant Brown: Sure. I might think about it two different ways. I wouldn't characterize Q1 of fiscal '25 as baseline revenue, but I think it's appropriate to build off of what you are modeling in Q4 of fiscal '24, but we haven't provided explicit -- explicit guidance to that.
Operator: Thank you. Next question comes from the line of Tim Arcuri with UBS. Please go ahead.
Unidentified Analyst: Hi. This is (Evan) [ph] calling in for Tim. I had just one question from me, just wanted to ask about the US phone market for iPhone has potentially changed the trajectory of the recovery on the Android side because I know that the iPhone market, the used phone market is going substantially. So I just wanted to try to get a sense for it if that sort of, like a headwind to the recovery on the Android side?
Grant Brown: The iPhone refurbished market has been around for quite a long time. So at least when we model that coupled with everything else that we do in our normal research for phone usage, different segments, all those things that we feed into our model, we've taken all that into account for all the comments that we've made this evening, last quarter, the quarter before that and the quarter before that. So it's all in our calculus already.
Unidentified Analyst: Thank you.
Operator: Thank you. Next question comes from the line of Matt Ramsay with TD Cowen and Company. Please go ahead.
Matthew Ramsay: Thank you, guys. Good afternoon. There's a couple of calls going on at the same time, so I apologize if I missed a little, but guys I heard all the comments going into the back half of the year regarding inventory in the handset market and also your sales potentially getting better with the large customer. I wanted to ask on the Qualcomm guys mentioned tonight not having a license to ship into Huawei for 5G and there's some pretty well-documented reports about HiSilicon doing a modem with SMIC for some of those phones and it's uncertain about volumes, but could you guys tell us if you're -- would be allowed to participate in those handset builds, and if you have sort of export license to do so? Thanks.
Robert Bruggeworth: Matt, thanks for the question. I don't believe there's any company in the USthat has a license to ship to Huawei for 5G phone. They become a very small customer of ours, so there's no real impact from that perspective. And as you pointed out, we'll see if they are successful or not, won't impact our business at this time.
Matthew Ramsay: Got it. No, that was my assumption, but I had a few people ask me to clarify that. I guess as my follow-up. You guys have spent a lot of time talking about diversification of the company outside of the wireless market and it's not lost on us through the press release and some of your communications that the first bunch of bullets was about things in the auto market and in aerospace and defense and a bunch of markets, silicon carbide, a bunch of things outside of the handset market. But there's also been some pretty dynamic macroeconomic conditions in all of those markets as well, like, nothing is really immune from the macro. So maybe you guys could give us a little bit of an update outside of the handset market, how inventory for the company is overall. Customers in the channel. Are there any -- it's well-documented what the inventory headwinds are the gross margin and the recovery in your handset business and we all follow that closely, but are there anything that we should know about outside of the handset market from an inventory perspective where do you feel like things are relatively clean there? Thank you.
Grant Brown: Sure. This is Grant. Let me take -- Maybe the two-part question and then I'll ask Dave to step in if I miss anything. The question about the growth drivers. If you look at or think about the phases of growth that we're looking at right now, you could -- as we've commented on return to shipping and to end market demand is relatively near-term. Beyond that, we continue to work with our customers and believe that we'll benefit as the volume levels return. So beyond just shipping to end market demand, we should see some growth and return to normalcy over the coming years. And then maybe beyond that, even into the longer term, we should see the benefits from the investments we're making, that would be sort of beyond 5G, and you're looking into the migration to DOCSIS 4.0 within HPA, the one-to-many phenomenon bought commented on in defense and aerospace will continue within CSG, there's the move to WiFi 7 and among many other things that we're investing in and expect to see growth there. In the near term, inventory to that piece of the question, we are seeing pockets, which we've talked about before in base station and partially in WiFi in some consumer areas, which will take longer for us to work through versus Android. And Dave, I don't know if you have anything further.
Dave Fullwood: Yes, nothing to hit it right, Grant. And the inventories in the channel for most of the components outside of Android, we'll probably be on a similar cadence, maybe into early next year other than base station. We don't have as good a visibility into our customers' end markets and how much inventory may be there that they need to work for. So that's probably a little bit of uncertainty for us.
Operator: Thank you. Next question comes from the line of Christopher Rolland with Susquehanna. Please go ahead.
Christopher Rolland: Hey, guys. Congrats on the great guidance. And sorry, if these were answered, but December, did you still expect that to be flat revenues, flattish from September, any other thoughts on seasonality moving forward? And then, Grant. I know you expect revenue to grow fiscal year-on-year. Any chance that EPS could grow as well or is that a little too far of a long shot?
Grant Brown: Sure, thanks, Chris. And I'm glad you asked the question actually on December. So when we made the comments to a flattish December, it was on our -- previously anchored to our last quarter guidance. So I would expect that right now, given that we're not anticipating significant growth in fiscal '24 that I'd pouch that with the comments we made last quarter, it could end up being slightly down to flattish. And then, of course, some seasonal decline in March. Potentially less than normal as we clear the channel. So, that question hadn't been asked. I'm glad you went there. In terms of EPS, I have given majority of the P&L but haven't commented specifically on -- on annual EPS relative to fiscal '23.
Christopher Rolland: And then I thought it was interesting you mentioned silicon carbide, I believe, it was for AI servers, if I got that right, and is that like DC to DC or into power supplies? Or any other detail there would be great, if I got that right.
Grant Brown: Yeah, you got that right. It's for power supply in the servers, and of course, AI and any kind of applications like that is going to drive demand there. So that's good for us, but yes, that's a strong market for us as we grow our silicon carbide business.
Operator: Thank you. Next question comes from the line of Edward Snyder with Charter Equity Research. Please go ahead.
Edward Snyder: Thank you, guys. Thanks a lot. Based on everything you've said here, a bit stronger than expected guidance in September and everything you said about Android, you're not expecting a rebound, et cetera. That suggests that the extra strength is coming from the content gains at your largest customer, and doesn't that imply, given your share and all that, that you're going to see, well, year-over-year in content is going to have to be up much more significantly at 40% overall, have I got that math right?
Grant Brown: Thanks, Ed. I think you are consistent with what we've been saying, we're going to have significant content gains at our largest customer. And as I've said in other public forums, that's primarily in products that we already participated in, where we've been able to grow our share as well as they are adding content.
Edward Snyder: Right. So that was my second question because you have been clear the content gains are kind of a mix of both. Share gains and new content. Does that mean that we will see you in sections, the RFP that we haven't seen in the past when we talk about new content or is it just additions to areas you've been very strong in previously? And how sticky do you feel the share gains will be over the next year or so, especially the ones that you're taking from other folks, just curious?
Robert Bruggeworth: Yeah, thanks, Ed. Again, what I've said publicly is, which I know it's hard for many of you to find, in the antenna tuner space, almost some of the other small components that are in there that, quite honestly, a lot of you missed, they are not on the motherboard, they are on various other flex circuits and things like that. Gaining there and in the ultra-high band we've talked. It's PA and BAW filter, we've been in for about three years. So that's the area. So it's really in those two areas primarily.
Edward Snyder: Those areas that, you guys actually have been quite strong and they're expanding given all the new connectivity going on here makes sense. And we highlighted every antenna tuners. I think you're up like 12 to 15 in the last model, plus a couple of impedance tuners too. So that's generally what we're talking about in most of the gains?
Robert Bruggeworth: Your numbers, not my number. I'm not going to comment on the units, number of units per phone. I will say you're in the right area. And I'd also point out, we publicly said the last couple of quarterly calls as well that we still believe there's lots of opportunity for us to grow with that customer. We look forward in the coming years.
Edward Snyder: Great. Thank you, Bob.
Robert Bruggeworth: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to the management for closing comments.
Robert Bruggeworth: Well, thank you, everyone for joining us on today's call. We appreciate your time and look forward to speaking with you at upcoming investor events. Thank you and hope you have a good night.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.